Operator: Good morning, ladies and gentlemen. Welcome to the CIBC Quarterly Results Conference Call. Please be advised that this call is being recorded. [Operator Instructions] I would now like to turn the meeting over to Mr. Geoff Weiss. Please go ahead, Mr. Weiss.
Geoffrey Weiss: Thank you. Good morning, and thank you for joining us. This morning, CIBC's senior executives will review CIBC's Q1 2013 results that were released earlier this morning. The documents referenced on this call, including CIBC's Q1 news release, investor presentation and financial supplement, as well as CIBC's Q1 report to shareholders can all be found on our website at www.cibc.com. In addition, an archive of this audio webcast will be available on our webcast (sic) [website] later today. This morning's agenda will include opening remarks from Gerry McCaughey, CIBC's President and Chief Executive Officer. Kevin Glass, our Chief Financial Officer, will follow with the financial review; and Tom Woods, our Chief Risk Officer, will close the formal remarks with a risk management update. After the presentations, there will be a question-and-answer period that will conclude by 8:30 A.M. Also with us for the question-and-answer period are CIBC's business leaders, including Victor Dodig, Richard Nesbitt and David Williamson, as well as other senior officers. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today's call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC's actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today's press release. With that, let me now turn the meeting over to Gerry.
Gerald T. McCaughey: Thank you, Geoff, and good morning, everyone. Before I begin, let me also remind you that my comments may contain forward-looking statements. Today, CIBC reported net income for the first quarter of $798 million and diluted earnings per share of $1.91. Return on equity for the quarter was 19.9%. Excluding items of note, our adjusted net income for the first quarter was $895 million, the highest on record for CIBC. Adjusted earnings per share were $2.15, up 9% from a year ago. We finished the first quarter with a Basel III common equity Tier 1 ratio of 9.6%. During the quarter, we purchased and canceled over 3.3 million common shares. These actions further our ability to deliver a sustainable long-term and high-quality earnings growth and demonstrate the progress we are making in executing our strategy in its 4 underlying workstreams, which are strengthening our core Canadian retail franchise, growing our Wealth Management business, growing our Wholesale Banking business and strengthening our Caribbean banking operations. I will now review the financial results and strategic developments for each of our businesses. Retail and Business Banking delivered net income of $611 million for the first quarter of 2013, up 8% from the same quarter last year. Credit quality in our retail portfolios is strong. In Q1, provisions for credit losses decreased from the prior year due largely to lower losses in our credit cards portfolio. Loss rates in this portfolio were at the lowest level since the fourth quarter of 2008. Strengthening our core Canadian retail franchise is centered on deepening client relationships with an emphasis on improving sales and service capabilities, cross-selling and acquiring and retaining clients. During the first quarter, Retail and Business Banking remained focused on deepening relationship with our clients. We continued our leadership in mobile banking with the launch of CIBC Mobile Payment applications, giving Canadians a new way to pay. Our clients now have the ability to make credit card payments with their smartphones. We launched the new Mobile Payment App for our President's Choice Financial customers. To better serve our clients, we continue to invest in our branch network with the opening of 3 new branches in this quarter, and as the lead sponsor of the CIBC Pan Am and Parapan Am Games, ground was broken on the new athletics stadium at York University. As discussed in previous quarters, our focus is on increasing our -- increasing share in our CIBC branded channels where we can form deeper relationships with our clients, earn higher NIMs and increase client satisfaction levels. David Williamson is here this morning to answer questions about Retail and Business Banking. Wealth Management earnings for the quarter were $90 million, down 10% from the same quarter last year as a result of a nonrecurring gain related to our investment in American Century in the first quarter of 2012. Excluding this, Wealth Management earnings were up $25 million or 38% from the same quarter last year. During the quarter, we made good progress in support of our strategic workstream to grow our Wealth Management platform. Wealth Management achieved an all-time high of $223 million in assets under administration as a result of sustained sales momentum and deeper client relationships. We achieved our highest long-term mutual fund net sales on record with $1.7 billion for the first quarter, and CIBC's Investor's Edge launched a new online interface providing clients with additional tools and functionality to monitor their investment portfolio. Victor Dodig is here this morning to answer questions about Wealth Management. Wholesale Banking reported net income of $91 million this quarter. Excluding items of note, net income was $200 million. This represents another strong quarter of -- for low-risk, client-driven, consistent and sustainable results in an environment that remains challenging and uncertain. During the quarter, Wholesale Banking's deal activity included several notable achievements that support its objective to be the premier client-focused wholesale bank in Canada, acting as lead coordinator for the Canada Housing Trust $5 billion bond offering, joint bookrunner on Husky Energy's $3.2 billion credit facility and financial advisor to GDF Suez on the sale of 60% in its Canadian renewable generation portfolio. Richard Nesbitt is here this morning to answer questions regarding Wholesale Banking. In summary, we've had a strong start to the year. We are confident that our lower-risk, customer-focused strategy positions CIBC to deliver consistent and sustainable returns for our shareholders. Let me now turn the meeting over to Kevin Glass. Kevin?
Kevin A. Glass: Thanks, Gerry. My presentation will refer to the slides that are posted on our website, starting with Slide 5, which is a summary of results for the quarter. So as Gerry said, we are very pleased with our Q1 2013 results. We posted record adjusted net income of $895 million, which resulted in adjusted earnings per share of $2.15. Reported net income was $798 million, generating reported earnings per share of $1.91. Our Retail and Business Banking franchise generated another quarter of strong growth. This segment continues to execute on its strategy focused on deepening client relationships. Wholesale Banking delivered strong client-driven earnings that are consistent and risk controlled. Wealth Management grew assets under management via a combination of strong net sales and investment performance, and our credit portfolio has exhibited improving credit quality. During the quarter, we had 3 items of note: a loss from the structured credit one-off business of $0.20 per share. This included the settlement with the Lehman Estate that was announced in December. Secondly, a gain related to the sale of our private Wealth Management business in Asia of $0.04 per share; and finally, the amortization of intangible assets, which was a loss of $0.01 per share. In aggregate, these items decreased our earnings per share by $0.24. The balance of my presentation will be focused on adjusted results, which exclude these items of note. We have included slides with reported results in the appendix to this presentation. Moving to the details for each of our strategic business units. I'll start with adjusted results for Retail and Business Banking on Slide 6. Revenue in the quarter was $2.1 billion, up $36 million or 2% from the same quarter last year, with gains in our core business lines offset by lower Treasury revenue allocations in the other segment. Moving to our lines of business. Revenue in the Personal Banking segment was $1.62 billion, up $60 million or 4% compared with the same quarter last year. Performance benefited from a combination of higher volumes across most products and higher fee income. Our exit from the FirstLine mortgage broker business continued to progress well with both conversion volumes and spreads exceeding our targets. When combined with our focus on growing CIBC-branded products, this contributed to year-over-year growth of 11% in the CIBC mortgage portfolio, which was well above the industry average. Business banking revenue was $380 million, up $7 million or 2% compared with the same quarter last year due to a combination of higher volumes and fees. Business banking volumes continued to grow with average deposits and lending balances both up 5% year-over-year. The other segment had revenue of $62 million in the quarter, which was down $31 million compared with the same quarter last year and up $20 million from the prior quarter. The main driver of these variances are Treasury revenue, which tends to be somewhat volatile on a quarterly basis. The provision for credit losses in the quarter was $241 million, the lowest since the fourth quarter of 2008, and was down $40 million or 14% from the same quarter last year due primarily to lower write-offs and bankruptcies in the cards portfolio. All our consumer lending portfolios in Canada continue to perform well, and Tom Woods will discuss credit quality in his remarks. Our non-interest expenses for the quarter were $1 billion, up 3% from the prior year. This increase reflects our continued investment in strategic business initiatives. Our adjusted net income was $613 million, up $44 million or 8% compared with the prior year. Our core net interest margin or NIM was 262 basis points for the quarter. This was up 4 basis points from the prior quarter and 10 basis points from the prior year. This represents the fourth consecutive quarter of increased NIM, which has been helped by the improvement in our business mix driven by growth in higher-margin CIBC-branded products. We expect this level of NIM to remain relatively stable with improvements in business mix helping to offset the ongoing negative impact of low interest rates that is being felt throughout the industry. Turning now to Slide 7 and the results for Wealth Management. Revenue in the quarter was $432 million, up $34 million or 9% from the same quarter last year. Looking at the results of the specific business lines in this slide, retail brokerage revenue of $259 million was up $10 million or 4% compared with the prior year, and this was due to an increase in average client assets under administration and higher trading volumes. Asset management revenue of $144 million was up $19 million or 15% from the same quarter last year, and this was due to a combination of an increase in average client assets under management, which was driven by strong fund performance and record net sales of long-term mutual funds as well as higher fee income. Noninterest expenses of $315 million were up $3 million or 1% from the prior year, mainly as a result of higher performance-based compensation. Net income in Wealth Management was $90 million, up 38% from the same quarter last year. Slide 8 reflects the results of Wholesale Banking, where we continued to deliver strong performance. Revenue this quarter was $557 million, up $35 million or 7% compared with the prior quarter on an adjusted basis. Capital markets revenue of $328 million was up $25 million or 8% from the prior quarter, primarily due to higher fixed income revenue. Corporate and investment banking revenue of $213 million was up $19 million or 10% from the fourth quarter, largely as a result of Merchant banking write-downs booked in Q4 '12. And corporate credit, an increase in revenue due to higher fees and volumes, was offset by lower CMBS gains from our U.S. real estate finance unit. Adjusted provision for credit losses of $10 million was down $3 million from the prior quarter. Noninterest expenses were $291 million in the quarter, up $42 million or 17% compared with the prior quarter, primarily due to an increase in performance-based compensation and the timing of certain other salary and benefit expenses. On an adjusted basis, net income for Wholesale Banking was $200 million for the quarter, up $8 million or 4% from the prior quarter on the same basis. Overall, we are very pleased with this Wholesale Banking performance and the contributions from each of our capital markets, lending and advisory businesses. The balanced results demonstrate the success of our client-driven strategy and the strength of our diversified platform. In conclusion, we successfully carried over our momentum from 2012 and achieved record net income in the first quarter providing a strong start to 2013. We remain positioned as a lower-risk bank, and our strategy continues to deliver consistent and sustainable earnings in each of our businesses. Retail and Business Banking delivered strong performance, which included volume growth in core products and improving margins. We see this as evidence that our client-centric strategy and investments in strategic initiatives are delivering. In Wealth Management, solid investment performance, above market asset growth and growing fee-based revenue streams provided solid results. And Wholesale Banking delivered another quarter of diversified and consistent performance. And finally, loan loss performance improved as a result of credit quality. Thank you for your attention, and I would now like to turn the meeting over to Tom Woods.
Thomas D. Woods: Thanks, Kevin. Slide 20, loan losses in Q1 were $265 million versus Q4 losses of $328 million reported, or $275 million on an adjusted basis. Loan losses were down in Q1 mainly because of $14 million lower losses in commercial banking. On Slide 21, our cards portfolio continues to perform well. The net credit loss in Q1 was 4.1%, the same as in Q4. Our cards delinquency rate remains stable quarter-over-quarter. With respect to our Canadian residential mortgage portfolio on Slide 22, 76% of our Canadian residential mortgage portfolio was insured, with over 90% of the insurance being provided by CMHC. The average loan to value of our uninsured mortgage portfolio based on December host price estimates is 51%. Slide 23 shows our Canadian residential mortgage portfolio by region. The size of this portfolio was $144 billion with approximately 46% in Ontario followed by B.C. at 20% and Alberta at 16%. The credit quality of this portfolio continues to be high with a net credit loss rate of approximately 1 basis point per annum. Slide 24 shows our Canadian residential condo mortgage exposure. Condos account for approximately 12% of our total mortgage portfolio, with about 72% in Ontario and B.C. Similar to our total mortgage portfolio, 77% of our condo portfolio is insured, and the uninsured portfolio has an average loan to value of 52%. This slide also shows our condo developer exposure. At January 31, our drawn loans to construction projects were $789 million or approximately 1% of our business in government portfolio. The exposure is diversified across 73 projects. Slide 25 shows our exposure to European peripheral countries and other countries in Europe. As you can see, we have no peripheral sovereign exposure and very little peripheral non-sovereign direct exposure, about $18 million net after deducting the collateral we hold. We have $281 million indirect exposure to corporates in the peripheral countries in our structured credit run-off book, down slightly quarter-over-quarter, where our interest benefit from significant subordination to our position. But hereto, none of this exposure is to peripheral sovereigns. Slide 26, our U.S. real estate finance business had $4.1 billion of drawn exposures and $393 million of undrawns. About 83% of this has been originated since 2009, which benefits from higher credit quality standards due to better loan-to-value metrics and tighter adjudication criteria. In Q1, we had loan losses here of $9 million, down from $10 million last quarter, all owned loans that were originated pre-2009. We had $109 million of net impaired loans. Slide 27, our exited European leveraged finance book had $396 million in drawn exposures and $73 million in undrawn. In Q1, we had no provisions in this portfolio. Our exited U.S. leveraged finance loan book had $77 million in drawn exposures and $19 million in undrawn. In Q1, we had a net reversal position -- provisions of $1 million in this portfolio. Turning to market risk, Slide 28 shows the distribution of revenue in our trading portfolios. We had positive results every day in Q1 compared with 95% of the time in Q4. Our average trading VaR was $5 million compared to $5.5 million in Q4. The low VaR levels reflect our continued conservative market positioning. And on Slide 29, our Basel III common Tier -- common equity Tier 1 ratio was 9.6% at the end of Q1, up from 9.0% at the end of Q4. The quarter-over-quarter increase was primarily due to, first, lower Basel III risk-weighted assets resulting from OSFI's decision to postpone the implementation of the new Basel III CVA risk-weighted asset charge related to OTC derivatives. And this helped our ratio this quarter by 45 basis points. And second, earnings net of dividends. This was partially offset by the impact on the ratio of our share repurchase program. I'll now turn things back to Geoff.
Geoffrey Weiss: Thank you. That concludes our prepared remarks. We'll now move to questions. [Operator Instructions] Operator, can we please have the first question on the phone?
Operator: [Operator Instructions] Our first question is from Peter Routledge from National Bank Financial.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Just a question on retail business, Retail Banking and Business segment. I noticed your net interest income, just in dollar value, is flat the last couple quarters in the $1,460 million [ph] range, but your net interest margin is come up 5 basis points. And I sort of can't reconcile that even if you sort of account for the change in average interest earning assets. Maybe can you just help me understand what's going -- what the dynamics are? Is that all Treasury allocation noise?
J. David Williamson: David Williamson speaking. Yes, it is. So when we talk about Retail and Business Banking, we're looking at excluding the Treasury and when you look at those other numbers, the Treasury assets along with the related earnings from us.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Okay. Just the -- thinking about your mortgage book, you're -- there's more runoff because you're getting out of the broker market, and your origination certainly in the branch are quite strong. Is that book, all in, is it creating -- just on an interest income basis, forget spreads for a minute, is that creating flat interest income quarter-over-quarter? Or is it rising? Or is it falling?
J. David Williamson: Okay. So starting off on the balances front, as you see, the overall balances in mortgages are declining, not substantively, but they're declining, as we signaled they would before, right, single-digit kind of overall decline. Within that, you're absolutely right. If you'd look at the growth in the CIBC-branded space, we're up over 10%, so very substantive growth in the absolutes in -- in the absolute balances of CIBC-branded mortgages, and as a result, all-in NII is up.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Yes, but just interested income, is it you're getting more yield out of this book now after everything's said and done? Or is it pretty flat?
J. David Williamson: More yield.
Peter D. Routledge - National Bank Financial, Inc., Research Division: More yield. Okay. And I guess if that's the case and if you'll get through the probably more intense phase of this change in strategy this year, your revenue outlook probably isn't too bad. The question would then be why not raise the dividend this quarter.
J. David Williamson: The revenue outlook is -- you're right, it's not bad or good. If we look at this quarter, the results that are coming out of this business unit -- so I just put off to the side the Treasury -- our results this quarter are up almost 3.5% on the revenue side. So you're right. They are looking strong. So on the dividend front, I'll hand over to Gerry on that, if I could.
Gerald T. McCaughey: Yes. I wouldn't read too much into our not raising the dividend this quarter. On the capital front, we're also in the middle of a buyback program that's going at an accelerated pace. As I've said before, to the extent that you have a buyback, it does allow you to raise your dividend more rapidly and stay within your payout ratio. All of those things are being considered, as well as future plans in terms of the buyback area. And we'll discuss that with the market when we've concluded on the exact mix that we're going to arrive at.
Operator: Our next question is from Robert Sedran from CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: Just, Tom, on the loan loss front, economic growth seems to be slowing. Consumer debt levels are elevated. They don't seem to be conditions that are conducive to a step-down in provisioning. Now we've seen this for the -- from the other banks as well so far this quarter, but I'm just curious as to what might be driving it and how sustainable a decline in provisioning is given where we are in the cycle.
Thomas D. Woods: Rob, Q1, we had very good performance across just about every bucket of loan losses. FirstCaribbean came on right on expectations, but just about every other category was down. I don't want to give you specific guidance, but I think seasonality in cards in Q2 normally drives a higher number there. We had recoveries in commercial banking in Q1, and we can't count on that every quarter. We had about $10 million or $12 million in release of generals in Q1, and I don't know that, that's going to continue every quarter. So I think it's fair to say that Q1 was an outperformer quarter. I think the run rate overall for the rest of the year, however, should still be down versus 2012. But I don't know that you should look at Q1 as necessarily representative of the rest of the year. I think it's likely to be a little higher.
Robert Sedran - CIBC World Markets Inc., Research Division: That's helpful. And then a second question, I don't know if this one's for Gerry or David, but noted the language on Aeroplan and possibly contemplating other options. The bank has made some pretty major strategic pivots in the past couple of years, and I'm wondering if this one might be another one that's coming. Or are you happy with the Aeroplan relationship?
J. David Williamson: Rob, let me take that. This is David Williamson calling. Now this -- or speaking, sorry. It's a -- this is a long-standing partnership that we've had with Aeroplan, and the reason for the disclosure is just a significant contract and it's not resolved, so it was appropriate to highlight that in our disclosures. But I know the questions out there regarding the status of the discussions, so let me just speak to that. We have a long-standing partnership with Aeroplan, which speaks, I think, partly to your question, that dates back 20 years. It does expire at the end of this calendar year unless extended by the parties or replaced in accordance with its terms. We have been engaged in periodic discussions with Aimia, and we anticipate being involved in future conversations with them. However, hence the disclosure, there can be no assurance that the Aeroplan agreement will be extended, so we are exploring alternatives. And of note, CIBC has significant contractual rights if we're not able to reach an agreement on the extension on the current contract, but that's, to your question, not the objective. It's a relationship that we continue to explore.
Robert Sedran - CIBC World Markets Inc., Research Division: So it's still March. Is it -- when do you get -- or I guess, February officially. When do you -- when are you hoping to have something done? I mean, middle of the year? Or could this be dragging on toward the end of the year?
J. David Williamson: Yes. It's just hard to say. The contract is good until the end of the year, and as I say, we're in periodic discussions. I'm confident we'll be in continued discussions.
Operator: Our next question is from John Reucassel from BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Just a quick clarification, Tom Wood. Just what is this -- what's the impact of the delay of the CVA again?
Thomas D. Woods: Yes. John, in our 9.6% Basel III as of Q1, it was 45 basis points.
John Reucassel - BMO Capital Markets Canada: They'll be 45 lower. Okay.
Thomas D. Woods: Yes, yes. But John, I just want to clarify and you perhaps know this. If this CVA charge is, in fact, implemented Q1 of next year, I think all banks will probably be able to chip away at some of that by model approvals and more trades going through central clearinghouses. So to the extent you're modeling that, I think it's reasonable to assume that not all 45 would come in as a drag in Q1 next year. I don't want to give any number, but it's not a big number, but it's not a tiny number either.
John Reucassel - BMO Capital Markets Canada: Yes. And just for Gerry, I guess given the strong capital ratios and looks like the retail repositioning is going very well. You talked about an accelerated buyback, so could you -- why not buy back more stock? Like what's the reason not to? Or can you talk about what an accelerated buyback program means?
Gerald T. McCaughey: Well, the -- what I referred to in terms of accelerated buyback program is the one that's in place today. It has run at an accelerated pace versus when we announced it. The announcement originally encompassed a period of a year, and we will have finished that buyback program much faster. That puts us in a position to, as I said in answer to the dividend question, to weigh up buyback options reasonably soon versus dividend increases. And I want to emphasize that it's not that you are doing a buyback versus a dividend increase. It's that the degree of buyback drives the degree of dividend increase that's available to you because of its impact on where you lie in your payout ratio. So the accelerated buyback reference that I made was to the one that's in place now, which if it continues at the pace that we've been executing, which was faster than an annual pace, we'll conclude fairly soon. And then we'll have to speak to the marketplace about our further plans in the future for buybacks. That will be very informative as to the capacity that we have in total to raise dividend.
John Reucassel - BMO Capital Markets Canada: Okay. And then just to be clear, you don't anticipate -- your buyback program was obviously cleared by OSFI, and as far as you can tell, there wouldn't be any issues if you had to come up with a new one sooner than expected.
Gerald T. McCaughey: Right. The -- you used the frame if we had to come up with a new one sooner than expected.
John Reucassel - BMO Capital Markets Canada: Or wanted to, I guess, I should say.
Gerald T. McCaughey: Okay. Again, I don't want to speak for the regulator, and I don't want to speak before we have something definitive to tell you. The key piece of information that we're kind of using today so that we can be very communicative on this discussion is the fact that the buyback that's in place, we are executing effectively as rapidly as possible when one considers -- I suppose you could go a little faster, but there are a lot of considerations including how much of a presence you are in the market and that type of thing, and we've executed this thing quite rapidly. I think that is -- although I don't want to make a forward-looking statement, I think that is at least part of an indication about how we intend to proceed.
Operator: Our next question is from Gabriel Dechaine from Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just a numbers question here actually on the cards business. I guess $15 billion in balances, I think 80% of that or so is what you call premium. And of that amount, what would be Aeroplan's total size of that portfolio?
J. David Williamson: David Williamson speaking. I'm afraid I won't be able to help you too much there. We don't break out actually the cards information at all, let alone the subsegments.
Gabriel Dechaine - Crédit Suisse AG, Research Division: In the past, you said 80% is premium though, like at your last Canadian Investor Day. Is that kind of where you still are at or what?
J. David Williamson: No. It's quite a bit less than that.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Okay. Okay. So my main question though is on the Canadian margin. That's you're an outlier there in a positive sense as the margin's going up. What I'm trying to get a sense for is, is the mortgage repricing powerful enough or impactful enough to offset an acceleration of the declines in the cards balances? Because they were due -- down 2% quarter-over-quarter on the spot balance. Commercial growth was flat. Those are 2 higher margin businesses. Wondering if you have no growth in commercial and negative growth in cards, how that affects the NIM outlook. And then if you can roll into that as well your deposit repricing, what kind of -- is that going to stop being a headwind at some point this year?
J. David Williamson: That, I can help on. So a couple of comments on NIM. So first, we've got the benefit of the move from the FirstLine spreads, thin, to the CIBC-branded spreads, which are substantively wider. So that has helped this quarter. But of note, our NIMs would be up quarter-over-quarter even without the pivot on the FirstLine, so then that comes just to how obviously we're being -- there's some downdraft from -- that the whole industry's feeling regarding lower interest rates, and our balances in credit cards are down, too. And you're right. That's a high NIM product. In fact, in credit cards right now, we have the highest NIMs we've ever had in that portfolio, but balances are down. So you've got 2 headwinds on NIM, so what's offsetting that are 2 things. One is the deposit balance growth we've had quarter-over-quarter. That's helping the NIMs offsetting the interest rate impact, and also pricing. Now pricing, not fees I'm talking about but just how we're pricing in the market, different geographies, sensitivity to client profiles, and that's having a positive impact, too. So you're right. There's some moving pieces in there. FirstLine is going to be something that helps us for a while as we shift into the CIBC brand, but in addition to that, we have other help. So I guess the key point, being even without FirstLine, we're still up on the NIM front quarter-over-quarter.
Gabriel Dechaine - Crédit Suisse AG, Research Division: And just -- sorry, last -- the deposit balance growth, that's because you're tying deposit requirement to the CIBC branded mortgage. Is that [indiscernible]?
J. David Williamson: Deposits were growing along at industry levels. We do have -- we've been pulling -- deemphasizing, if you will, the broker deposit high-interest-rate space. So if you look at the reported numbers, that's impacting our reported numbers, but that, again, is kind of a thinner margin space. If you look -- if you adjust for that and look at our branded deposit space, we're growing pretty -- well, actually at market. And then you overlay on that what's going on in mutual funds. Mutual funds, we've got year-over-year growth of like 12%, really outperforming on the mutual fund front, and that's got decent returns on it, too.
Operator: Our next question is from John Aiken from Barclays.
John Aiken - Barclays Capital, Research Division: A question for Richard. Richard, a little bit surprised to see the deceleration on -- in your loan book. Granted it is average balances and item parsed through on the period end. Is this just a temporary stasis? Or is this a reaction to something that you're seeing in the marketplace?
Richard W. Nesbitt: I'm just trying to look at the numbers. Do you see a deceleration? You're talking about the rate of growth of increase?
John Aiken - Barclays Capital, Research Division: Yes, exactly. Based on my calculations, the average balances were up less than 1% over last quarter.
Richard W. Nesbitt: Yes. So that really should be looked at. We had a very strong year in 2012, grew loan balances quite significantly. We'll still have a good year this year, but we're not expecting to have as strong, as significant a growth as we did in 2012.
John Aiken - Barclays Capital, Research Division: So Richard, are you seeing anything on the competitive front in terms of pricing or covenants that are being put in place?
Richard W. Nesbitt: Yes. So far pricing has held in, in the corporate side, and we're still getting very good pricing from our corporate clients. In addition, I'd say in real estate finance, that's probably the -- as I've said here before, that's probably some of the best quality lending we can do for the levels of credit that's open to us. So far, that's held in pretty well, and I think the reason for that is the dynamics are different right now with the departure of the Europeans, leaving -- going back to Europe and leaving behind gaps and loan syndicates that have to be filled by people like the Canadians.
John Aiken - Barclays Capital, Research Division: And if I can sneak in another quick one on the capital ratios, I don't know if Tom or Gerry wants to take this, but I mean, we're well into the 9% on capital ratio. The discussion's very different than what we were having 2 years ago. And to flip that on its ears, when do we get to a level that's too high? When does it get overly punitive? I mean, I understand where the European banks are going, but I don't think that the Canadian banks are offering the same demands in the market place as those banks. And do we continue to see growth here? Or is this something that will effectively be managed either through growth or, as you're talking about, in terms of return on capital?
Gerald T. McCaughey: Tom will touch on some of the movement that's going on right now because of the ebb and flow of regulatory requirements, and then I'll touch on the generality of the question because I think you saw a surge in a number of institutions' ratios this quarter in relation to some elements like the CVA, and one has to consider that there will be some reduction on that later on possible. So Tom will touch on that, and then I'll touch on the generality of how much is enough.
Thomas D. Woods: Yes. I think, first of all, earnings net of dividends every quarter help us by 30, 33 basis points, so -- and that's what we've seen over the last 5 or 6 quarters. I've already commented on the impact of the CVA, which, at some point, will come back. I don't think it'll come back nearly to the extent of 45 basis points. We're still waiting regulatory guidance on buffers. But even factoring all of that in and then the share repurchase, it has been a drag every quarter, but notwithstanding that, you're seeing well into the 9s for ourselves and some of the other banks. So I mean, flexibility is certainly there to take any number of steps, but 30 to 32 is roughly what earnings net of dividends gives us every quarter.
Gerald T. McCaughey: It's Gerry here. I think that it's important to -- leading -- taking Tom's comments as a base, I think it's important that one looks forward to the dynamic of some of the elements that are changing from a regulatory viewpoint. And Tom touched on buffers. That's one of the dynamics. Keep in mind that right now if you were to look at the actual pre-buffer total common equity requirement, it's 7%. Buffers do affect to that, and I don't think we're completely final by any means in terms of the buffer discussion, both internationally as well as, obviously, domestically. And so that is something that is a discussion that's not yet complete, and I think it is leading to, on the industry's part, an incremental level of caution. I believe that clarity around buffers will allow the industry to calibrate and to actually use capital a bit more efficiently than it can during a period of uncertainty in terms of what the final numbers will be. So that's Part 1. Part 2 is that I think that operating within that dynamic, let's presume that we get to a time frame where one has absolute clarity and I think that, that absolute may not be that absolute, but let's say that we're closer to having the buffers spelled out and having a better idea of what the industry's going to do in terms of how much it is going to reside above those buffers because you always get into that industry dynamic also. But let's presume that we arrive at that period of time. I think then that how much -- how you are -- how much you're above the buffer level is going to be determined by the usage of the capital. I think that there will be -- if you're at a very high level and you happen to be engaging in actual business investment, acquisitions and/or investments in that required capital, not balance sheet activities, I do believe that from an industry viewpoint but also from our viewpoint that one would be more inclined to bring about a decline in capital levels and get closer to the buffers, if it was actual investment in the business. If one is involved in capital activities such as buyback, I think you'd be a little less inclined to bring it down at a rapid pace towards what the anticipated buffer level would be. And I also believe that -- and again, not speaking -- this is, of course, subject to regulatory discussions, which will happen in the years to come, but I also believe that, that dynamic is something that, in the past, has been somewhat of a good rule of thumb when one was operating within the discussion with the regulators. That actual business activity that represented investment in the business or acquisition of assets or businesses is looked on somewhat differently than actual capital actions such as buybacks, which are an actual planned reduction without a necessarily business dynamic benefit. So all that having been said, the purpose of this entire giving you the narrative here, is so that it's, in our mind and in my mind, a more refined discussion than more is better. We do believe that at current levels, ourselves and the industry are operating with quite strong capital ratios. And we've had those discussions internally so that we can operate within an effective framework for our -- all of our stakeholders. And I do think that we are approaching levels within the industry at this time that are very robust. And you got to add in the dynamic that Tom talked about, the dynamic that I talked about to qualify that statement. But I do view current levels industry wide is quite robust, and that's how we're guiding ourselves at this time.
Operator: Our next question is from Andre Hardy from RBC Capital Markets.
Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division: Just a question on the tax rate. It looks like it was 14% reported, and correct me if I'm wrong, about 16% excluding unusual items. That'd be in line with the prior 2 quarters but seems low relative to what the bank had historically as a tax rate. So what would be your outlook for the tax rate on a sustainable basis?
Kevin A. Glass: Andre, it's Kevin. You're right. The tax rate was lowest this quarter, I think your numbers are right, and was lowered largely due to business mix. We also had such a higher tax exempt income, and we -- this quarter, we actually also had a favorable tax adjustment. So that would have helped us by about a percentage point as well. And if we look at it going forward, I mean the rate will be somewhat volatile, depends on business mix and timing of dividends and that sort of stuff. But in the shorter term, we expect a rate on our adjusted earnings of about -- on a -- 17% to 19% on a non-tier basis, probably realizing somewhat towards the end of the year.
Operator: Our next question is from Darko Mihelic from Cormark Securities.
Darko Mihelic - Cormark Securities Inc., Research Division: I'm looking at Page 5 of your supplemental. I'm just looking for a little bit of color on expenses and looking at it from the overall top level, just 2 line items in particular that I want to focus on, your performance-based compensation and your benefits line items. When I look at the $344 million for performance-based comp, last year kind of fluctuated, but it wasn't that big of a range. And I look at the benefits expense of $142 million, almost a similar dynamic last year. Can you speak to whether or not I'm looking at run rate levels of expenses for these 2 line items?
Kevin A. Glass: So Darko, I think that, again, there are some fluctuations on an ongoing basis. This quarter, our wholesale bank, in particular, performed extremely well, so there was an increase in performance-based compensation over there. So a lot depends on how that unit performs, and I mean, I think that's the major explanation for the changes this quarter.
Darko Mihelic - Cormark Securities Inc., Research Division: And with respect to benefits cost of $142 million, is that fair to say that, that's a good run rate?
Kevin A. Glass: I think it may be a little higher this -- being a little higher this quarter and probably come down somewhat.
Operator: Our next question is from Stefan Nedialkov from Citigroup.
Stefan R. Nedialkov - Citigroup Inc, Research Division: It's Stefan from Citi here. I have 2 questions. Could you please update us on maybe how much buybacks you have done since 31st of January 2013, so I guess over the past month really? And the second question is on the funding costs. Two quite important things have happened over the past few months. Number one, Moody's downgraded most of the Canadian banks; and secondly, the covered bond framework in Canada has changed. Have you seen any impact already? And if so, is that a positive or negative impact?
Gerald T. McCaughey: Could you just repeat the question around the funding costs?
Stefan R. Nedialkov - Citigroup Inc, Research Division: Sure. So Moody's downgraded most of the Canadian banks back in January. Number two, the covered bond framework has been changed so that the banks can include uninsured mortgages basically and just uninsured residential secured lending product overall. If you have had to refinance maturing covered bonds, have you seen any impact from those 2 actions?
Gerald T. McCaughey: It's -- I'll start. In general, our -- we're finding that funding conditions, net of the individual questions that you just had about covered bonds, which I'll turn it over to our Treasurer in a minute to respond to, in general, we're finding that funding conditions both on an availability and on a spread basis are quite good at this time. As to the changes that have taken place in the covered bond market and the anticipated future opportunities as a result of the new frameworks that are being introduced, I'll turn it over to Peter [ph] in order to discuss that. Peter [ph]?
Unknown Executive: Thanks, Gerry. As you mentioned, the new covered bond framework was announced in December. We think it's a very robust framework that we do expect to utilize. It is a significant change from the prior framework, so it does require a redevelopment of reporting and technology. We expect to be in a position to utilize it within a couple of months. And I expect most of the Canadian banks will be active users of the new covered bond framework. We do expect to see funding costs to be comparable to the old program notwithstanding the fact that these will be uninsured mortgages versus the insured mortgage program we had previously. There are significant credit enhancements in the new framework that will mitigate the change to uninsured mortgages. So I think that answers the question. Let me go on to your question about share buybacks. I think you had asked how many shares we repurchased in February, and that number is about 1.4 million.
Stefan R. Nedialkov - Citigroup Inc, Research Division: Okay. Fantastic. I guess just one follow-up. In terms of the covered bonds credit enhancements, what would that be exactly? Is that derivatives that you may have taken or something else?
Unknown Executive: No, there's -- that's a fairly detailed question I could follow up on. But there are limits on the loan-to-value ratios of the overall portfolio. There will be a requirement to provide reporting in the future on indexation, where all property values are reevaluated against current property values to ensure that you still meet the LTV requirements. There's a whole range of things that I'd be happy to follow up on as required.
Stefan R. Nedialkov - Citigroup Inc, Research Division: Right, okay. Great, great. So basically you are taking down the risk profile of the mortgages that are going into the pool?
Unknown Executive: I'm sorry, I missed that.
Stefan R. Nedialkov - Citigroup Inc, Research Division: Sorry, I'm calling from London, maybe the line's not very great. But in terms of these credit risk mitigations, you are effectively taking the risk count the underlying portfolio down, and that's how we are getting to a lower or similar funding cost to what you had before.
Unknown Executive: Yes. That's effectively right. Although I would start with a view of the risk of the underlying portfolio is extremely low to start with. If you look at the loan-to-value ratio, it was in our report that we just provided. Even the uninsured mortgages have an average of 51%. And if you look at our loan loss experience in the mortgage portfolio, it's extremely lower over time. So you're starting with a very, very high-quality asset that underlies the structures and then has further enhancements within the covered bond framework itself. So it'll -- we are very confident it'll be a very effective and low-cost funding, I think, going forward.
Operator: Our next question is from Michael Goldberg from Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: I'm looking for the number on a pro forma basis that would correspond to your all-in set 1 capital at the end of the first quarter, the $12.077 billion?
Thomas D. Woods: Michael, it's Tom. I'll have to get that number back to you. I don't have it close at hand.
Operator: Our next question is from Steve Theriault from Bank of America Merrill Lynch.
Steve Theriault - BofA Merrill Lynch, Research Division: I have a couple questions for Kevin and a quick follow-up for David. So for Kevin, margins in Canadian banking are now up in each of the last 4 quarters, and I think in your remarks, you said you'd expect flat margins going forward. So I guess my question is, are you just being conservative? Is there -- or is there is less positive impact from the mortgage broker runoff coming down the pipe for timing reasons or something else in the next little bit? And I also wanted to ask how much of the FirstLine expenses have now run off thus far? Has that been meaningful yet?
Kevin A. Glass: So Steve, I think in terms of margins being relatively stable, I think this was a strong quarter. We may be being a little bit conservative, but there are coming low-interest-rate headwinds coming at us. So we certainly don't want to get ahead of ourselves. And then as far as the FirstLine expenses are concerned, we don't really break that out. They are coming down but not significantly.
Steve Theriault - BofA Merrill Lynch, Research Division: The percentage of the FirstLine expenses, could you ballpark in terms of percentage impact in the reduction of the FirstLine expenses?
Kevin A. Glass: Steve, that's a pretty detailed question. Let me take a look at that, and I can get back to you.
Steve Theriault - BofA Merrill Lynch, Research Division: Okay. No problem. And then for David, just a comment you made earlier, you said it's the highest NIMs you've ever had in cards. Is that due to mix, so less premium, more mass market and therefore, higher yield? Or is that more driven by something else?
J. David Williamson: Yes, Steve, so I guess a few factors. The mix of the cards come into play, no doubt about it. And a part of it's mix that's lining up for us. But on top of that, we've been focused on quality more so than volumes. So we've not been focused very much on the balance transfers. We're -- and even on the Citi book, we brought it across. We took steps to enhance the NIMs on that portfolio, so mix coming into play but also the upshot of an extended focus on trying to have the focus on quality, not volume.
Steve Theriault - BofA Merrill Lynch, Research Division: Yes. Balance transfers, that makes sense to me, too.
Operator: Our next question is from Sumit Malhotra from Macquarie Capital Markets.
Sumit Malhotra - Macquarie Research: I got on the call late, so I apologize if some of these have been already asked. On the buyback question that just came up, so if I've got the math right, since you started the repurchase program in September, you've repurchased 6.6 million shares as of the last February filing, which is more than 80% of the 8.1 million you've been approved for, which I think runs through August. So what is the strategy here? If you keep looking at the pace you're at, you're probably going to be at the 8.1 million limit before the end of April. So do you expect to slow that down and stay at 8.1 million pace? Or are you going to be asking the regulators to let you increase that 8.1 that you're approved for?
Gerald T. McCaughey: It's Gerry. Earlier on the call, I basically said I'd rather get a little closer to the end of this program before commenting on future programs. And then in a subsequent follow-up question, I did say that we were running this at a accelerated pace versus the original target dates that you talked about. And that, onto itself, did indicate how we felt about capital levels and our ability to buy back. And so that was information that I think you should take as being indicative, in some fashion, of how buybacks fit into our future plans. All that having been said, we will look at buybacks, dividend increases, as well as the strategic development of the businesses before making any final decision. But this buyback is concluding quite soon, and therefore, we do feel that a further discussion with the marketplace about our plans closer to the end of this buyback is warranted.
Sumit Malhotra - Macquarie Research: Okay. Sorry for making you answer that again, and I hope this one hasn't been asked. It's for David Williamson on commercial. If -- I'm looking at this right in your slides, your commercial loans are flat quarter-over-quarter. I know you've talked over the last year about perhaps being or perhaps pulling back on the commercial real estate portion of business lending that's housed in that. Is that the reason that the loan book balance looks unchanged quarter-over-quarter? And could you remind me of the, if that's still the case, on the CRE, what -- of the $35.7 billion, approximately how much -- $35.7 billion balance, how much is CRE loans?
J. David Williamson: So this quarter for business lending, a bit softer than what run rate that we've been seeing for a while, so that's a factor. And part of that is commercial mortgages. For a multi-year period now, we've been running well in business lending, around about 10%. And although this quarter is a bit softer, we're still thinking high-single digits going forward. So we haven't really parsed out the commercial mortgages and don't really intend to go down that path. But it is a factor with the current spreads in commercial mortgages that we've just backed off in growth in that area. So no doubt, if you'd adjust for that, it does elevate our quarter-over-quarter growth. But just to be transparent, this quarter, a bit softer than our recent run rate, but we still feel good about all those businesses moving forward over an extended period now.
Operator: There are no further questions registered. I'd like to turn the meeting back over to Mr. Weiss.
Geoffrey Weiss: Thank you, operator. That concludes our call. If there are any additional or follow-up questions, please contact Investor Relations. Have a good day.
Operator: Conference is now ended. Please disconnect your lines at this time. We thank you for your participation.